Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss NV5's financial results for the Full Year Ended December 31, 2022. Joining us today are Dickerson Wright, Chairman and CEO of NV5; Edward Codispoti, CFO of NV5; and Richard Tong, Executive Vice President and General Counsel at NV5. I would now like to turn the call over to Richard Tong.
Richard Tong: Thank you, operator. Welcome everyone to NV5's Full Year 2022 Earnings Call. Before we proceed, I would like to remind everyone that today's discussion contains forward-looking statements about the company's future business and financial performance. These are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these statements are included in today's presentation slides and our reports on file with the SEC. During this call, GAAP and non-GAAP financial measures will be discussed. A reconciliation between the two is available in today's earnings release and on the company's website at www.nv5.com. Please note that unless otherwise stated, all references to fourth quarter 2022 comparisons are being made against the fourth quarter of 2021 and reference to full year 2022 comparisons are being made to full year 221. In this presentation, NV5 has included certain non-GAAP financial measures as defined in Regulation G promulgated under the Securities and Exchange Act of 1934 as amended. The non-GAAP financial measures included in this presentation are adjusted earnings per share and adjusted EBITDA. NV5 provides non-GAAP financial measures to supplement GAAP measures as they provide additional insight into NV5's financial results. However, non-GAAP measures have limitations as analytical tools and should not be considered in isolation and are not in accordance or a substitute for GAAP. In addition, other companies may define non-GAAP measures differently, which limits the ability of investors to compare non-GAAP measures of NV5 to those used by peer companies. A webcast replay of this call and its accompanying presentation are also available via the link provided in today's news release and on the Investors section of the company's website. We will begin with the call with comments from Dickerson Wright, Chairman and CEO of NV5, before turning the call over to Edward Codispoti, Chief Financial Officer, for a review of the full year 2022 results. Dickerson Wright will then provide closing comments before we open the call to your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Richard. And welcome to everyone joining us on the call. I would like to turn your attention to the investor deck we will be using for our discussion today, which can be found on our investor website. So let's begin by going to page 5 of the deck which summarizes our successful calendar year 2022. We generated 11% growth in gross revenues despite the historic acceleration of interest rates throughout the year. For example, federal fund interest rates were less than 1% in January, to now over 4% in December of 2022. This increase had an impact on the portion of our businesses that is interest rate dependent, namely real estate transaction services which support portfolio transactions as well as our municipal service sector. In spite of these increases in rates, we still experienced a 5% organic growth across the other segments of our businesses. We are particularly pleased with the all-time growth and profitability of our Geospatial service vertical. We're also pleased with the intercompany services sold between all of our 105 offices, obtaining over $37 million in contracted sales business across the platform for 2022. We're very optimistic for 2023. We anticipate an increase in organic growth, particularly from our high EBITDA services in Geospatial and utility services. We also anticipate our best year-to-date in mergers and acquisition activity in 2023. Our organic growth in 2023 will be supported by strong backlog entering the new year. Therefore, we anticipate organic growth to be 6% to 9% for 2023. Now, let's turn to page 6. I would like to report the acquisitions we made in 2022 which strengthen our platform to allow for increased growth in 2023. River City Testing supports our current Construction Quality assurance or TIC platform in Southern California and reinforces our services to a large client base in Riverside, San Bernardino and Orange counties. The acquisitions of KMK and Intrepid Engineering further supports our building technology and energy conservation services, as well as giving any [inaudible] high profile to the hospitality industry which expanded audio and visual services in the year. The acquisition of GEO1 in the summer of 2022 allowed us to provide Geospatial services to more southwest utilities, providing services that support the utility grid stabilization as well as mitigate the wildfire risk for providers of energy. As I mentioned earlier, our M&A activity in 2023 is at a record pace, having announced three acquisitions to date. As our service verticals mature, we can be more selective in our acquisition targets. We have the luxury of selecting high EBITDA for organic growth companies that support our current offerings. For example, we feel there is an opportunity to further grow our owners representation services. So let's turn to slide 7. As you can see, we have made an acquisition in this space in Q1 2023, diversified consulting solutions specialize in representing education facilities in the Mountain West region. We anticipate further acquisitions in the space in 2023. We are also very excited about the large Geospatial services acquisition that we have done this year. On page 8, the L3HARRIS Geospatial Division is a subscription based revenue providing service to government and commercial clients. With this acquisition, NV5 has acquired 16 patents and other well-known analytical products. This service is provided by approximately 150 employees, serving 500,000 global users. Also, as you know, NV5 has wanted to structure the analytics portion of our Geospatial services to a subscription based lead service model from a onetime sales mode. The acquisition of L3HARRIS Geospatial component facilitates this endeavor. The Axim Geospatial acquisition aligns very well with our existing Geospatial business. It adds further defense and intelligence clients and further aligns with our software based initiatives. Axim has 340 employees and over 200 proprietary tools for mapping and aerial survey. We are excited about this acquisition as it dovetails and supports our existing geospatial services. It would be good to review the progression of NV5 in growing our geospatial data solutions business. On slide 9, you will readily see our entrance into this service line with the acquisitions of Skyscene in 2017 and our recent acquisitions of L3HARRIS Geospatial and Axim. This progression now makes NV5 the leading provider of geospatial data solutions. We're excited about the growth opportunities for 2023. There's an increasing demand for infrastructure improvements as the population grows. Although, there's an increased demand for energy, it must be delivered in a clean and efficient way. The concern of a global warming, increased focus on defense, energy distribution and alternative energy production have all caused an increase in the demand for the services that NV5 provides. We are further encouraged for 2023 based upon our ever increasing backlog, which is now approximately $800 million and reflects only work we intend to do in 2023. You'll notice on slide 11 that the backlog entering 2023 includes some key wins that are referenced on the right side of the page. I will now hand the presentation over to our CFO, Edward Codispoti to provide an overview of our full year 2022 performance.
Edward Codispoti : Thank you, Dickerson, and good afternoon, everyone. If you would please turn to slide 13 of the presentation, I'll review our 2022 financial results. Our gross revenues increased 11% to $786.8 million, compared to $706.7 million in 2021. Net income increased 6% to $50 million in 2022, compared to $47.1 million in 2021. Our adjusted EBITDA increased 2% to $135.2 million in 2022 from $132.9 million in 2021. Our GAAP diluted earnings per share increased to $3.27 per share in 2022 from $3.22 per share in 2021, a 2% increase. It's important to note that our GAAP diluted earnings per share were impacted by $5.6 million of acquisition related cost, of which $3 million related to contingent consideration and $2.6 million related to professional fees. Of the $5.6 million of acquisition related cost, $4.7 million was incurred in the fourth quarter. Our adjusted earnings per share increased 2% to $5.19 per share in 2022 from $5.11 per share in 2021. On slide 14, you can see that our cash flows from operations during the year were at $94 million. It's worth noting that this year there was a change in the tax law that required research and development expenses to be capitalized and amortized for tax purposes instead of deducted in the year incurred. As a result, we paid $9.4 million of tax related to these R&D expenses that we did not have to pay all at once in the previous year. These are not additional tax payments, but rather a matter of timing across periods. Cash on hand was $38.5 million and our net leverage was down to 0.2x compared to 0.6x at the end of 2021. Moreover, we had capacity under our line of credit of $358 million as of the end of 2022. Our strong balance sheet position, healthy cash flows, and lower net leverage position us well for future growth as it allows us to complete larger transactions as opportunities arise. I'll now turn it back over to Dickerson for some closing comments.
Dickerson Wright: Thank you, Ed. Our outlook for 2023 is bright. You will notice on slide 16 three key factors that support our optimism. Organic growth, mergers and acquisitions, and margin growth. We, therefore are setting our guidance of $878 million to $950 million in revenues. GAAP EPS guidance is set at $2.93 to $3.33 per share and adjusted earnings per share guidance is set at $5.28 to $5.69.
Operator: [Operator Instructions] Our first question will come from the line of Jeff Martin with ROTH MKM.
Jeff Martin : Hey, good afternoon, guys. I wanted to drill down on Q4 a bit. Revenue was about $15 million below consensus or so. Obviously, you probably have some headwinds in the real estate transactions business. But were there other areas where you saw some either delays or contracts that you thought would come in that didn't come in the quarter?
Dickerson Wright: Yes, that is correct, Jeff. I just want to maybe comment on the consensus, there is of the analyst that we had one analyst that was, we consider an outlaw who was significantly above the other five analysts. So that kind of brought the consensus higher than was expected. However, if you use the Bloomberg consensus, we were actually above the analyst consensus. So it's really a matter of what you're looking at. That does not say that we did experience significant headwinds in the fourth quarter. We had a tax rate of 30%, which was the highest that we've had before, and we did see a significant drop in the real estate transaction business, which, as you know, is a poor field of business. It's normally a very good reoccurring revenue stream, but it's highly impacted by the increase in interest rates. I mentioned in the comments concerning the interest rates. The real interest rates that our transactional service business is using was more like 6.5% interest and not the 4% that I used in mentioning the federal funds. We also had some project delays in our Geospatial business, which you'll see recovering. And those were projects that were just delayed because of funding that were moved over into to the first half of 2023. So all of those things compiled made us we had a very good year, but our fourth quarter was depending on which frame of reference you use was either above or under analyst expectations.
Jeff Martin : Okay, thank you for that. And then two part questions from my other question. First is, in terms of the guidance, what kind of assumption is included in that guidance for the recent acquisitions, namely DSI and Axim? And the second part of the question is, at the midpoint, you're guiding revenue up 14% over 2022. Just looking at obviously you got an interest expense impact that hits the EPS growth this year. But what is adjusted EBITDA growth look like? I would imagine it would be somewhere closer to that 14% of the midpoint of your revenue guide. Thanks.
Dickerson Wright: I'll mention the first some comments, and certainly Ed is sitting next to me and he can mention some other ones concerning exact nature. First, I think you need to consider the increase in share count when you look at the earnings per share down GAAP or adjusted. And I think we increase our share count by about 600,000 for the year so that's of course, those earnings are spread over a larger share count. As far as the gross revenue, we had to take into consideration not knowing, and I'll mention more of that in the concluding comments. But we really don't know when we can expect the revenue coming from the L3HARRIS acquisition, which we're waiting on government approval, and I'm told we have maybe another 45 days. But what is baked in there is just a rough estimate of what we've expect revenue from that acquisition. And then more definitive will be revenue we expect from the Axim acquisition, which we did get government approval, which was [inaudible] we did get approval. And so that revenue was contemplated to be roughly from March on their annual run rate base. So to really be definitive in what the acquisition revenue is, it's going to be a little bit difficult because of the government approval. But in that guidance, we do have the acquisitions that we've made to date, and when we could start to, we can look for the impact of that revenue. Ed, you may have some other comments.
Edward Codispoti : I think that's just to add some more color to that. The assumptions for the guidance, Jeff, were really mid-single digits on organic and then layering in, as Dick said, Axim in March, and then the L3HARRIS acquisition sometime in the second half of the year. Your question on EBITDA and what we would anticipate there. As you know, we had $135 million of adjusted EBITDA in 2022. We would expect to be somewhere between $150 million and $160 million next year.
Operator: Your next question comes from the line of Chris Moore with CJS Securities.
Chris Moore: Hey, good afternoon, guys. Thanks for taking a couple of questions. Can you remind me, on the real estate transactions, the revenue that was generated there in ‘21 versus ‘22 and kind of how you're looking at ‘23.
Dickerson Wright: Okay, I'll let Ed comment on he has in front of him what we had in revenue. I can say this, though. The budget for ‘23 shows in those two sectors that are the real estate interest rate, depending on the portfolio of businesses, they're showing roughly a 14% degradation from the budget last year. So we had in our organic growth, we had to overcome the 14% degradation in the budget, but Ed has a specific number on where they were sequentially.
Edward Codispoti : Yes, just to give you an idea, Chris, 2021 was about $47.5 million or so that had a little bit, if you recall, we acquired GRS at the very end of ‘21, literally, I think it was the last week in December. And so when combine GRS and Block & Clark in 2022, those combined revenues were $71 million or so, $71.3 million. And as far as what we're forecasting for next year, we're forecasting about a 7% decline over 2022. That’s already we saw some of that already in Q4. And so when you look at the full year ‘22 versus ‘23, we think that'll be about a 7% decline. So that maybe they'll be in the mid $60 million range. And that decline has been factored into our guidance already. And so as a whole, that part of the business, although it did have those headwinds, represents less than 10% of the overall business, about 7% or so.
Chris Moore: Perfect. Very helpful. And I know the timing is uncertain on L3 and Axim, but can you give us a sense in terms of what leverage will look like once those deals close?
Edward Codispoti : Absolutely. And actually, with respect to Axim, that one, as you know, did close yesterday. So that one is in the bag. And the one that is still subject to regulatory approval and some of those are international is L3HARRIS. So we're factoring that into the second half, as I said. So now with Axim, as you know, we were at 0.2x that's what we said earlier as of yearend, in terms of net leverage. With Axim, will be about 1x to 1.1x net leverage, and then with GAMO will go to maybe about 1.5 or so. And then, of course, depending on projects going forward, we'd like to pay that down over time. I think a very meaningful thing to note is that when you consider that leverage that we just talked about, and think about it in terms of the guidance that we've given, there's about a $0.50 tailwind that would be available to us once we pay off all of that debt. In other words, net interest expense if you convert to earnings per share. If we can pay down the debt that we've leveraged as part of those two acquisitions, we've got $0.50 that would basically be incremental on top of that EPS, if that makes sense.
Operator: Your next question comes from the line of Rob Brown with Lake Street Capital Markets.
Rob Brown: Hi, good afternoon. I just wanted to follow up your comments on the L3HARRIS business. I think you said it's a subscription business. Is that -- all of their revenue subscription? And sort of how does that work? And I presume as it grows, it's.
Dickerson Wright: Well, they don't do any true acquisition work on the Geospatial services. So most of their work is analytics, software based, and that most of that revenue is subscription based. There are some units price contracts, but good, the majority portion of their revenue is reoccurring. And it's basically on the analytic side of the Geospatial. And that's why we think it clubs very nicely with our existing Geospatial business, which has two segments. It has the acquisition side of it flying over, mapping, deepwater measurements, and the analytics side of the side. The L3HARRIS is mostly analytic, mostly software and I'm going to, you'll notice in my concluding comments, I'll mention that we did get the 16 patents that they're doing and really some well-known software that we will be using to support not only the existing clients, but we hope to present them to some of the clients that we're doing in our traditional geospatial services.
Rob Brown: Okay, great. And then the M&A pipeline you talked about being active in ‘23. You've closed the number already. Is it -- is that to imply there's additional kind of size acquisitions coming this year?
Dickerson Wright: We're always acquisitive and I hate to be giving showing my age, but the longer we're in this business, the phone rings and right now we have a number of ongoing opportunities. Some that we've submitted term sheets for, some are in due diligence, but I would look, we think one in specific supports are really growing utility service businesses, but most of the acquisitions will not be a platform based, but mostly acquisitions that will support our existing platform. And we right now, what we see in front of us is acquisitions in the core business and in the energy efficiency business and what we are calling our owners representation business. I think we announced one of those acquisitions yesterday, but mostly smaller acquisitions.
Operator: Your next question will come from the line of Andy Wittmann with Baird.
Andy Wittmann: Oh, great, thanks. Sorry, I just want to try to understand the guidance a little bit better here on the revenue side with the acquisitions and the organic growth rate. But if you look, I guess, just doing some math here. If it's 6% to 9% organic growth rate, I would suggest you're getting your total growth rates are about 8 to 12 or so. So you get 2%, 3% growth from the acquisitions and playing about $15 million or to $30 million of acquisitive revenue. Does that seem like the right number that's embedded in your guidance? Or am I missing something? Is that the right number for those two acquisitions?
Edward Codispoti : Andy, in terms of the organic and the guidance itself, the low end is the midpoint, is closer to 5%. It doesn't mean that's what we're targeting. We think it's very possible to do more, but the midpoint is closer to that 5%.
Andy Wittmann: The midpoint of organic guidance is 5%. I'm sorry.
Edward Codispoti : Yes, that's correct, yes.
Andy Wittmann: Okay, so what was the comment of 6% in 2023, then?
Edward Codispoti : That's our target as a company, we're striving for more. The guidance we've given is a range that goes the midpoint is closer to five, the high end of 7%.
Dickerson Wright: Hoping to be more successful than that.
Edward Codispoti : Exactly.
Dickerson Wright: We're very optimistic that we hope to be. Ed gave you what we're giving guidance at 5%, but we hope to do better than that.
Andy Wittmann: Okay, got it. And then just maybe, Ed, just given that interest rates are moving and you've got these deals which have closed and are closing, can you just help us with what the interest expense? Maybe quarterly run rate is embedded in that adjusted EPS, recognizing that you could get, if that number could wind up in a lot of different places if we don't kind of explicitly put it out there. I think it'd be helpful for everybody to get on the same page.
Edward Codispoti : It can and what makes, it can vary. Like you said, obviously, rates are all over the place these days, but and it's also going to be dependent on when these deals close. In the case of Axim, that one closed yesterday, so we know that but L3HARRIS would be later on. So depending on when that leverage falls into place, that would affect the overall interest expense. We're factoring in about $11.5 million or so for the full year. I could say that, Andy, and we're just shy of 6% interest. And so to give you an idea, I'm sure you're aware of this, but our current facility is LIBOR based. We'll be changing over to SOFR soon, but it's LIBOR based and our rate is 1% on top of that LIBOR rate. If we go to 1.5x leverage, then it's 1.25% on top of the LIBOR rate. So we'll be somewhere in the 6% rate changes what we're factoring in. Does that help?
Andy Wittmann: Yes, it does, yes.
Edward Codispoti : I gave the, okay, good.
Andy Wittmann: Yes, no, that’s totally clearly. And actually a LIBOR plus 125 is pretty attractive borrowing for a credit facility in this industry. So that is actually helpful. So I appreciate that. Then I guess my last question is just on the interest rate sensitive parts of the business. You quantified the real estate business. In the prepared remarks, there was another business besides the real estate transaction services that is interest rate sensitive. I don't know if I heard it right, or maybe I just don't understand what that business is. I think you said municipal services. I guess maybe could you talk a little bit more about that? And the size of that business in 2022? Was that included in the $71 million that Ed quoted or is there another piece of revenue that was attached to that, that we should be aware of?
Dickerson Wright: No, that was included, the municipal services business itself is buried within our infrastructure business. But let me explain. Why that is interest rate dependent and what that is. It is the services where we become the actual building departments or outsource for all small municipalities around the country. As you will know, their revenue depends on building permits. Our fees are based on a percentage of the building permit. And obviously, as interest rates go up, there's less building permits because there's less housing. There's less many, many things that are dependent on interest rates. So building permits can be commercial or residential, but so they will be impacted and they are impacted by the revenue they get from building permits in which they pay us. So that piece of the business, it's a little bit harder to quantify, but if you look at all segments of the business, it's probably somewhere under $30 million or about $30 million. But you would add that to the transactional businesses that were our portfolio, businesses which Ed mentioned.
Operator: Your next question will come from the line of Michael Feniger with Bank of America.
Michael Feniger: Yes, thanks for taking my questions, everyone. The mid-single digit organic growth outlook, are there just any other verticals that you would flag that are slowing beyond the municipal portion you mentioned in the real estate transaction? I guess I'm just trying to get a sense that with infrastructure, clean energy, utilities, grid, like what is holding back this organic growth being more than just 5% in 2023?
Dickerson Wright: Well, I think the midpoint that I gave you was 5%. But Michael, you have to understand, when you have an erosion in some of the existing business and to grow the rest of the company, you have to overcome the erosion of those sectors. So we are being conservative in that. But the only real areas that are tremendously in our business, our effective interest rates are the ones that I mentioned. Our geospatial business is growing at double digits, and some of our other verticals are growing very significantly. And we expect significant growth in our businesses that represent the facility construction in which we call our owners representation business. And we're going to speak a little bit more in my concluding comments on what we look forward to in growth in our core engineering business, which Alex Hockman is here will be speaking on and then also in our international and energy efficiency business. But the most, the business that has impacted the most has been the ever increase in interest rates. And we're just not tremendously dependent on that. We have other verticals. All of the business is growing very well. We just have to overcome some of those interest rate sensitive businesses.
Michael Feniger: And the businesses you're overcoming, are they higher margin than the core? I guess I'm just trying to get a sense of why when we look at EBITDA margins, why we wouldn't see more benefit from scale there in ‘23, based on the ranges you provided, is there any mix that we should be thinking of in terms of the growth and the profitability there?
Dickerson Wright: Okay, let me unpack your questions there, if I could. Obviously, some of those verticals are more profitable than others and it depends on how they're measured. Our Geospatial business requires a lot of equipment. So that's a true EBITDA business. Our core business, our engineering services business and other segments are not as capital intensive or equipment intensive. However, the higher profitability of our business, I would say that our real estate transaction services business was probably on the higher end of EBITDA contribution than some of the existing businesses that were not affected by the interest rate. But overall, you will see in ‘23 we expect to see an increase in our profitability in any way you would like to measure that. And that kind of shows that for us, the strategy that we have of having services provided in a number of different verticals that are not as dependent on one client or one base of operation.
Michael Feniger: Great. And just lastly, Ed, is there a share count number that we should be thinking about for ‘23? Just like as we all try to make sure we're modeling the moving parts right. And the 70% conversion from cash from ops that you guys did was really good to see. I mean, how do you kind of think about that for ‘23 when we think of the cash flow? Thanks, everyone.
Edward Codispoti : You're welcome. Yes, on the share count, when we look at next year’s share outstanding. I would model in around 15,000,550 or so. As you know, for 2022, it was 15,000,260. That should give you an idea. And I'm sorry, what was there, there was another question.
Michael Feniger: It was just on the cash flow. What do you think some of the most –
Edward Codispoti : Yes, on the cash flow. Well, we're adding, as I mentioned earlier, our EBITDA was $135 million, our adjusted EBITDA was $135 million in ’22. And with these acquisitions, the way we've modeled it into next year, that EBITDA is going to range, it’s going to be somewhere between the $150 million and $160 million range. So we see a significant increase projected for adjusted EBITDA. CapEx should stay pretty consistent. And so I would expect cash flows to improve. And in addition to that, when looking at it from a cash from ops perspective, we had working capital that was bringing that number down. Not from a cash flow perspective per se, but just a timing type issue. So, yes, we are very optimistic about the growth in cash from ops going into next year, ’23 sorry.
Operator: Your next question comes from the line of Chris Sakai with Singular Research.
David Marsh: Hi, I'm in for Dave. Just two questions. What type of economic environment is your guidance predicated on and what happens if we slip into a recession?
Dickerson Wright: Well, very good question. We have always structured our business not to be dependent on the economy, so to speak. Obviously, we have a very profitable business that has a small portion of our business which is subject to interest rates. But most of our business is infrastructure supporting labor. And so we have supporting services. That comes about through increased population. As you know, in the macro look at things, the population will grow to $8 billion, but people still need to drink clean water, they still need to use the facilities, they still need to go for bridges, they still need to drive, go for roads that are safe. And all of these things are supported by a population as ever increasing. So our business is not really dependent on economic cycles. We have a very good solid budget from our transactional real estate business. And as you heard, we're not expecting tremendous growth in that area. But overall, we think we have some tailwinds at our back because of our business is really structured to support mandated services and not services that are dependent on economic cycles.
David Marsh: Okay, and then why is the revenue growing faster than EBITDA? Can you comment on that?
Dickerson Wright: Why is the revenue growing faster in EBITDA? I certainly love those, yes, I mean, we're more profitable. I mean, our growing pieces of businesses and I'll speak a little bit more on the Geospatial business, which is an EBITDA, is very profitable, but as I said, is more dependent on the DA portion of EBITDA, the depreciation and amortization. But as you see an increase in that, it really depends on, it is the growth of services that we have that are more profitable.
Operator: Your next question will come from the line of Mark Riddick with Sidoti.
Mark Riddick: Hi, good evening. So I was wondering, one of the things that we talked about in the past are some of the cross servicing and selling opportunities. Just wonder if you could sort of bring us up to speed on maybe what your thoughts are as to maybe what or if there's a specific goal that I know you've had historically. If there's a goal that we should be looking at and how that might layer into the new acquisitions coming in.
Dickerson Wright: Well, Mark, I like to say that our cross selling has been doing very, very well. I think our goal is $40 million in total contracted revenue for this year, which turns out to be about $700,000 per week. But I want everyone to realize and to know that that is for total revenue over the life of a contract. We also look for contributions in revenue and earnings that will actually go to 2012, but we strongly promote a cross selling. I have a call tomorrow with our Axim folks and that's the very first thing that we looked at and we love the idea. And I'll mention that in my closing comments. There's not a lot of duplication in services, but we really promote the cross selling or services between offices and network and delivered by the common brand that we have. But no, I think that the goal is higher this year. It's 40 million. We didn’t have it on, we had it and then didn't have it on the investor deck. But there's no specific reason other than to say that we really want to concentrate on the work that is being done in cross selling that contributes to revenue for 2012.
Mark Riddick: Okay, great. And then I wonder if you could talk a little bit about putting aside the acquisitions, if there are sort of any thoughts or updates as to any personnel needs or investment spend around technology. Is there a headcount goal that you may have given the options you see it before you vis-à-vis also recessionary concerns or the like. How should we be thinking about sort of your need to add organic talent in the year ahead? Thanks.
Dickerson Wright: Well, Mark, that's a very good question and the reason it's such a good question is I'm going to touch on that in our concluding comments. But I think that in our organic growth, we have a number of corporate sponsored initiatives in which we, the corporation supports the operations in growing an initiative that will really grow organically the business. So we have specific things we're going on that. Attrition is always an issue, it's always something and we've addressed that by having enhancing our recruiting staff. We have a dedicated recruiter just for our utility services business because obviously a vast majority of our fees are based on a unit price basis and if we don't have the person, the billable person, we won't have that revenue. So that is a concern. I think we're addressing it. So it's twofold. One is protecting the budget and the existing revenue we have and then initiatives that will support our operations and growth that they would like to do for the year. And how that works. I'll mention a little bit in our concluding comments, but how that works is we have a research and development budget and we have initiatives to grow the business and we get 30 or 40 so of them a year. And we pick three or four that the corporation can support without any effect on that operation and until they can stand by itself. So I'll mention in my concluding comments some of those initiatives and I'm sure both Alex Hockman and Ben Heraud will comment on some of the positive things we're looking forward to grow in 2022. But yes, staffing attrition is important and we're addressing that. But also, we're looking at new services that may be that separates us from our competition or gives us an entree into an area that we haven't had before. So you will see that what we're doing initiative that's hopefully I mentioned that and touch on those in our concluding comments.
Operator: At this time, this concludes our question and answer session. I would now like to turn the call back over to Mr. Wright for closing remarks.
Dickerson Wright: Thank you, operator. First, I would like to thank everyone for listening today and those who participated in the call when we reported our full year 2022 results. We're very pleased with that. We're very pleased in this economic environment to have a positive year. However, that was the past. We now look forward to what we're going to do in 2023. And we are very excited about and we anticipate a very good 2023 with increased growth over what we did in 2022. We want to support this by those initiatives that I just mentioned, and we think those initiatives will get us to the organic growth that we would like to have for the company. And I mentioned 6% to 9% and you saw what Ed had said about a mid-guidance of 5%. But we want to support this organic growth, not just in the M&A activity, but initiatives that we've had for this year designed to really help our operations enter new markets, provide new services, or strengthen maybe some of the existing platforms they have. So I would like to mention, if I could, some of those key initiatives and some of the things that have been successful in the past. One of the initiatives that we have this year is to increase our amount of activity with departments of transportation all around the nation. We have a resource group that is with expertise in each of the areas and so we are supporting an initiative that will hire someone that will specifically support the Department of Transportation growth. We also have an initiative that for a geotechnical expertise and services that we will want to expand in new geographic areas and that's another of our initiative. We also have an initiative. There's four of these initiatives. The third initiative we have is to support a reoccurring revenue stream and we're supporting initiative in our Geospatial area that will lease, if you will, the analytic services we're doing rather than a onetime sale to the client. So we really feel that this initiative will support the reoccurring and stability of their revenue and perhaps grow their revenue too. We also have initiative that we'll maybe speak more on later. But that is an initiative in our energy efficiency area that will support and promote a carbon growth reduction and help us in a service offering that has, will reduce the carbon impact. And so that's an initiative that we are supporting. I'd like to though mention a couple of things that we're doing now that have been successful and now, we're into operations and show growth. If you remember, if you go to that first page in our presentation, you'll see a ship there and it has a logo that hopefully you'll recognize. It says NV5 in the site. We purchased and built that and commissioned that boat specifically to do deepwater oceanography mapping and we don't know of no one on the East Coast that will have the capabilities to do this. And this is supported by an initiative we have done for our Geodynamics Oceanography group, which has been growing significantly and will support our wind farm initiative and will support many things. And so that is one of the things that was supported last year by corporate and is going to full action this year to grow that group. We also have had an initiative in Fire Mitigation for the west and one major utility. We supported a technical expert and a person with a client relationship to grow that. And now that budget has grown from last year in this year's budget to $5 million in revenue. So we really feel that it's important to constantly support this organic growth that we have. I think so we're looking for those to grow. We look for the support from our corporate support services do that. I know we've been speaking a lot of the opportunities we have with the acquisitions and so I will want to speak a little bit about that later. But I think it's really good for you to understand how we view what's going to be happening with our engineering services group, which is by far the biggest portion of our business. So Alex Hockman will report on what he anticipates in 2023 and some of the things that we're looking forward to. Alex?
Alex Hockman: Thank you, Dickerson. I'm just going to comment on three areas which I think highlight the growth potential that we have within our core business group. The first is our utility services and with our comprehensive design services led by our utility business unit. We continue to see high growth in investor owned utilities' desire to create a more reliable and safe means of delivering electricity while enhancing the grid. In addition to the fire and storm hardening benefits, another safety feature of undergrounding is eliminating the vehicle impact occurrence and allows for system improvements to handle additional electrification demands that will be required for EV charging stations. One of the benefits of the NV5 team is that we provide design and consulting services from conception through construction. Another area is water. We see increased opportunities for water resources and engineering services. Earlier this month, California's Governor issued an executive order for increased capture of stormwater runoff as a source of water supply. And in the past two budget cycles California has committed more than $8.6 billion to build water resilience. We have seen extreme from drought to flooding, and our water resources group covers a full range of services to meet the mandated requirements. And finally, we've always had quite a bit of conversations about the infrastructure spending built and we're seeing great opportunities within new infrastructure projects. And our ability to provide a full range of consulting services, including environmental, geotechnical, surveying, civil, structural and many other engineering and technical services allows for NV5e to engage with clients as a single source consultant able to assist with their project for the entire life cycle of the asset. So with that, we see great opportunity for having a very successful 2023. Thank you, Dick.
Dickerson Wright: Thanks, Alex. And also, we've mentioned many times the international work we're doing and some of the work that we are doing in building technical services. So I've asked Ben Heraud, who runs those groups and manage those groups, to give a view of what we expect in 2023 and some of the highlights on work that will be done and we're looking forward to from these areas in 2023. So go ahead, Ben.
Ben Heraud: Yes. Thanks, Dick. Our buildings and technology vertical continues to bode on last year's organic growth. We have many exciting opportunities ahead of us. Our ability to support clients in every phase of a buildings life cycle, from master planning through operations, has increased our market share in a number of sectors. Some specific highlights I just wanted to share. In 2022, our technology services group had a record year of sales and we're seeing this set to continue. We remain market leaders in higher education and are seeing growth into other sectors such as hospitality. Notably, we're the go to consultants for Hard Rock Hotels and have active projects currently in the US, Canada, Spain and Greece. Our Clean Energy group is benefiting from very high demand in the market for decarbonization services, and we're forecasting strong organic growth in 2023. These services, including energy efficiency, building analytics, electrical vehicle fleet planning, renewables and policy advice often serve as an entry point with our clients, creating significant follow on projects for our other offerings within NV5. Our mechanical, electrical and plumbing group scan to BIM service is growing rapidly. By converging our Geospatial LiDAR and imaging expertise with MEP services, we're building new high margin revenue streams. This is setting us up for recurring contracts off the back of more traditional engineering projects. Our international operations remain market leaders in the mission critical sector with recent back to back contract wins with Microsoft, Equinix and Vantage across multiple geographies. New strategic wins in other sectors including electric vehicle battery production, pharmaceuticals and semiconductor manufacturing are resulting in further diversification of our services here. We're also very well positioned to benefit from the recovery with the gaming industry in Macau and have multiple contracts already confirmed this quarter. Thanks, Dick.
Dickerson Wright: Thanks, Ben. I thought I'd maybe want to touch on the Geospatial acquisitions that we reported recently. We got a significant comment on both the Axim acquisition which we announced today, and as was mentioned previously, we have 340 employees of their firm joining us and really, it's a national acquisition platform. What we really are encouraged with is we really don't see a tremendous duplication of revenue and services, Axim does often a lot with the department directly with the Department of Defense, of which we in our normal existing NV5 Geospatial services group did not supply as much as that. We also like that they are capital equipment and light. They do very little acquisition work. And are using others to provide that service. And then they do the analytics. And so that is a natural fit for us with Axim, with Geospatial services, with the acquisition and I'll mention L3HARRIS, but with the acquisition of Axim and L3HARRIS, it makes NV5 the leader, the largest Geospatial firm in North America. And we really look at this. This is a good national platform to support our services. And the Geospatial has a tremendous support to our existing core business, our natural gas pipeline business and other businesses. So we are really looking forward to that. A little bit I can talk about the announcement of L3HARRIS. You know, we signed an agreement, we're waiting to close, waiting government approval, which we hope will be in the next 45 days. What we really like about that service is they also are really purely analytical services, and they have software and they have entrees to aerospace and Department of Defense that we've never had before. And so we really think this will enhance our Geospatial support and it will really grow the platform they have. So, with those two acquisitions, we really feel that we're in a high growth area and we look forward for very positive things like that. So I thought I would just touch on those acquisitions. I really think this concludes what we were going to mention today. I once again want to thank all of our employees. We want to thank those of you that have believed in the company, invest and follow us. We look forward to supporting that service. We had a successful 2022, but we're really looking forward to increased activity in 2023. And I look forward to speaking to everyone once again in the reporting the first quarter results of 2023. So thank you everyone for your time today. And this will conclude our conference.
Operator: Thank you all for joining. You may now disconnect.